Operator: Good day, ladies and gentlemen. And welcome to the Fresh Del Monte Produce’s Inc. Third Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] I would now like to turn the call over to your host for today Ms. Christine Cannella, Assistant Vice President Investor Relations. Ma'am, you may begin.
Christine Cannella: Thank you, Ben. Good morning, everyone. And welcome to Fresh Del Monte's third quarter 2015 conference call. Joining me today are Mohammad Abu-Ghazaleh, Chairman and Chief Executive Officer; and Richard Contreras, Senior Vice President and Chief Financial Officer. This call complements our third quarter 2015 press release, we made public this morning, and you can find that release or register for future distributions by visiting our website at www.freshdelmonte.com and clicking on Investor Relations. This conference call is being webcast and will be available for replay approximately two hours after conclusion of this call. Before we start, please remember that matters discussed on today’s call may include forward-looking statements within the provisions of the Federal Securities Safe Harbor laws. Forward-looking statements involve risks and uncertainties, which are more fully described in today’s press release and our SEC filings. These risk factors may cause actual company results to differ materially. This call is a property of Fresh Del Monte Produce. Redistribution, retransmission, or rebroadcast of this call in any form without our written consent is strictly prohibited. Let me turn this call over to Mohammad.
Mohammad Abu-Ghazaleh: Thank you, Christine, and good morning, everyone. Thank you for joining us. We are pleased to report that for the third quarter of 2015 Fresh Del Monte's net sales increased 6% to $936 million compared with the $885 million we reported last year. We also generated adjusted EPS of $0.37 compared with EPS of $0.35 in the third quarter of 2014. The increase in net sales was across all of our business segments driven by higher volume and increase demand and higher selling prices in several of our value added product lines. We credit this strong performance to our strategy and progress we have made in transforming our company to a more resilient diversified company. A company that isn’t just dependent on two or three products, markets or customs One of the key drivers [indiscernible] during the quarter was our global fresh cut business. We grew volume by 30% and stays by 32% year-over-year. We have an excellent global fresh up footprint as proven by our expanding product line and growing worldwide presence. We work closely with our customers to find the optimal mix of fresh cut products that enable us to achieve higher sales at highest points and margin expansion. We also continue to streamline our fresh cut business through automation and enhancements in our production and techniques. While already the global markets leaders we have just began to tap this strength and market potential for worldwide demand for healthy ready to eat fruits and vegetables. I believe we are well positioned to extend our products and market presence to increase market share in the coming quarter. We delivered strong sales growth at our avocado businesses during the quarter. Driven by a 52% increase in volume compared with the prior period. Over the past few years avocados have become a much bigger part of our product portfolio. We believe there is tremendous potential for growth in our avocado business as demand continues to rise as we penetrate new channels and as we continue to leveraging our platform of 22 distribution centers in North America. One of our top priorities is to roll out this product category to additional markets in the coming quarters utilizing our global distribution centers. Another driver of growth during the third quarter was our banana business segment with solid sales in all Middle-East and North America region a result of increase demand. While we are clearly pleased with our third quarter performance we would have done even better had we are not continued to be adversely affected by higher cost associated with banana production and procurement, unfavorable foreign exchange rates and the lingering effects of a weak Chilean season. In summary our business is growing. I believe we have the foundation the strength of a skilled management team and the flexibility to continue to transform Fresh Del Monte as a global food company, to position us to capture increasing global demand for healthy and convenient portfolio of products and deliver long term shareholder value. At this point, I would like Richard to take over.
Richard Contreras: Thanks Mohammad and good morning. For the third quarter of 2015, on a comparable basis excluding asset impairment and other charges, we reported earnings per diluted share of a $0.57 compared with earnings per diluted share of $0.35 in the prior year. Net sales were $936 million compared with $885 million in the third quarter of 2014, and gross profit was $83 million compared with gross profit of $74 million in the prior year. In addition we reported operating income for the third quarter of $36 million compared with $30 million in the third quarter of 2014 and net income for the third quarter was $30 million compared with $20 million in the prior year. In our banana business segment during the third quarter net sales were $425 million compared with $424 million in the third quarter of 2014 primarily driven by higher sales volume in the Middle-East and North America. The increase was partially offset by lower industry supply out of the Philippines. Overall volume was 1% higher compared with last year’s third quarter. Worldwide pricing decreased to 1% or $0.13 per box to $14.64 primarily due to unfavorable exchange rates. Gross profit for the third quarter of 2015 was $21 million compared with gross profit of $23 million a year ago. Total worldwide banana unit cost was in line with last year's third quarter. In our other fresh produce business segment, net sales increased $49 million to $420 million, compared with $371 million in the third quarter of 2014, and gross profit increased $8 million to $49 million compared with $49 million in the prior year. In our gold pineapple category, net sales decreased to $11 million to a $119 million compared with $130 million in the prior year as a result of lower sales volume in Europe, Asia and North America. Volume decreased 12% due to lower production and decreased yields from our farms in Costa Rica which have been adversely affected by erratic weather. Unit pricing was 4% higher and unit cost decreased 1%. In our fresh cut category, net sales increased $30 million to $126 million compared with $96 million in the prior year due to a higher sales volume in all of our regions and higher selling prices in North America. Volume increased 30% as we continue to increase distribution and further diversified our customer portfolio in geographic presence. Unit pricing was 2% higher and unit cost increased 1%. In our non-tropical category, net sales increased $5 million to $52 million compared with $47. Volume increased to 19%, unit pricing decreased 8% and unit cost was 8% lower. In our avocado category net sales increased $13 million to $46 million compared with $33 million in the third quarter of 2014. Volume increased 52%, pricing was 9% lower and unit cost was 8% lower. In our prepared food segment, net sales for the third quarter were $91 million compared with $90 million in the third quarter of 2014. The increase was primarily due to higher sales volume in our canned pineapple product line along with higher sales volume and increased selling prices in our industrial pineapple product line, partially offset by lower sales in our poultry line. Gross profit increased $3 million to $14 million compared with $11 million in the prior year. Now moving to cost, banana fruit cost, which includes our own production and procurement from growers increased 4% worldwide and represented 30% of our total cost of sales for the third quarter. Carton cost decreased 3% and represented 3% of our total cost to sales. Bunker fuel decreased 44% and represented 2% of our cost of sales and total ocean freight which includes bunker fuel, third party charters and fleet operating cost was 15% lower. For the quarter, ocean freight represented 10% of our total cost of sales. As for foreign exchange, the foreign currency impact at the sales level for the third quarter compared to the prior year was unfavorable by $27 million. And at the gross profit level the impact was unfavorable by $10 million. Other income net for the quarter was $1 million compared with other expense net of $4 million in the third quarter of last year, primarily attributable to foreign exchange losses in the third quarter of 2014. As to our stock repurchase plan during the quarter, we repurchased approximately 721,000 shares for approximately $28 million. At the end of the quarter our total debt was $212 million. Income tax expense was $5 million during the quarter compared with income tax expense of $4 million in the prior year. As relates to capital spending, capital expenditures for the nine months ended September were $90 million, capital expenditures for the full year 2015 are expected to be approximately $150 million, as many of our projects will carry over into 2016. This concludes our financial review. We'll now turn the call over to the operator to begin the Q&A portion of the call.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Mark Williams of Athlos Research. Your line is open. Please go ahead.
Mark Williams: Good morning and thank you. So Mohammad, the Middle East surprised me on a positive side this quarter, can you talk about what you're seeing improvement there in sales and margin, particularly the pricing headwinds in places like Turkey and the political turmoil broadly in that market?
Mohammad Abu-Ghazaleh: Actually, [the need] is performing -- as per our target and our plan, the only issue that we have are shortage of bananas from Philippines during -- I would say between August and September and first part of October which has affected the turnover in sales. Pricing had been very strong during that period. As far as all the other businesses that we are carrying there, they are all doing extremely well as a matter of fact. We have diversified as well into agriculture into the [indiscernible] which add value to our end product. So, all in all things are moving very well in the [indiscernible]. As far as the political situation there, really has not impacted us in anyway expect in Iraq and Syria where we used to sell large volumes of that mainly bananas into these markets and due to the some actions due to the political instability there, it's mostly due to the oversupply of bananas in the last couple of months that have destroyed the markets there. We believe that within the next four to six weeks this should reverse, the markets will improve there. In spite of the war and in spite of the fighting, they still consume bananas and they still buy fruits. And being in the market there and our physical presence in these areas gives us additional advantage and leverage to market a lot of fruits in a reasonably good way.
Mark Williams: And as the first supply normalizes would you expect your sales and margins in the Middle-East to be stronger or weaker in the next quarter?
Mohammad Abu-Ghazaleh: Well I cannot predict now. As we speak now the markets are weak because of oversupply situation is from Central America or from the Philippines. But it is normal at [indiscernible] has been growing for years and at that time of the year we hope that by middle of next month this situation normalizes and they go back to their normal pricing which is quite favorable.
Mark Williams: Okay, thank you. And another are that really surprised during the quarter is how strong your other fresh-cut sales were particularly with the growth in some of your newer products like Tropicana's fresh-cut, is that coming from your own capacity or are you just kind of seeing some room to expend distribution and kind of utilize some capacity on your shifts.
Mohammad Abu-Ghazaleh: Well most of our actually plans right now we hope to cement our production and that's why we are now expanding existing production spaces in some of the actual existing plans and we have plans to expand our geographic presence in North America, Europe and [Indiscernible] as far as new production facilities and expansion of our capacity. So you will see a continuous growth into this area going forward and it's just a method of time to catch up with more capacities, so we are very confident in that area, we have become very solid as the major player in this field and I feel very confident that we will accomplish our goals.
Mark Williams: And so how would you characterize you’re level of vertical integration and both fresh and avocados?
Mohammad Abu-Ghazaleh: Vertical integration?
Mark Williams: Yes. As most of your avocados on a contract basis and it's just same for fresh-cut or how much of that production do you own?
Mohammad Abu-Ghazaleh: No. The avocados are of mainly are long term contracts with [indiscernible] specially in Mexico and other countries Peru and Chile, but let's have a degree into these two countries, the major volumes come from Mexico and California as well. Actually we are expanding our customer base and our leverage is with our ability to deliver to customers on a timely basis at a very convenient space, but we are very close to our customers and that's what makes us have this leverage and advantage.
Mark Williams: Right, yes. This is the first time I think I noticed you disclosing avocados release. What kind of a run-rate is that business on right now?
Mohammad Abu-Ghazaleh: I'm sorry.
Mark Williams: The avocado business, I think this is the first time I saw you disclose it in the release. I'm sure you talked about getting more aggressive there, how big is that business at this point?
Richard Contreras: Yes. We don’t disclose within other fresh produce, but it is growing and that's why we started reporting it filing it out separately.
Mark Williams: Okay, alright. [Indiscernible] in future quarters
Richard Contreras: I mean obviously the size -- the sales were $46 million this quarter.
Mark Williams: This is seasonally high quarter out of Mexico I would assume?
Richard Contreras: I'm sorry.
Mark Williams: Is this seasonally high quarter for Mexican, I guess imports into the U.S.?
Mohammad Abu-Ghazaleh: No. This is normal, it is the steady actually. The volumes are there, we are expanding our market presence and sharing the market increased demand, so it's from many aspects in terms of how this business was growing with us and don't forget that we do a lot of [lightening] for our customers which is a very special service, which I think it's making a big change into the customer perception, that you'll go to the super market and you can find an avocado that you can take home and eat right away rather than wait a few days to get it ripen at home, so that's a big difference and we have this technology and the ability because it's a very sensitive product so we have to do well taking care of and do the right thing to have it right to the customer. And I think our customers right now realize that Fresh Del Monte has that capacity and ability to deliver.
Mark Williams: Is that new, that technology, it's the opposite technology [to finance] where you accelerate?
Mohammad Abu-Ghazaleh: Yes, it's a different. We use the same rule, but it's a different way of handling that.
Mark Williams: Okay, and is that -- you had that for a while now?
Mohammad Abu-Ghazaleh: We've been doing that for a while. Now it's picking up quite significantly and I think it's making a big difference.
Mark Williams: Okay. Thank you and just lastly, [indiscernible] today, how did they index compared to that [segment] margin structure?
Mohammad Abu-Ghazaleh: I'm sorry, we couldn't hear clearly, say that again please.
Mark Williams: Avocados, how do they index compared to other [indiscernible] margins?
Richard Contreras: I mean, I would say they are in the top half; they are in the higher end of those fresh category.
Mark Williams: Okay, great. Moving on to bananas now, I think fruit cost is higher for you and some of the pressure on pricing, I was partly surprised that margins there, is that -- can you talk about how those [up] this quarter?
Richard Contreras: The fresh cart?
Mark Williams: No, I'm sorry, bananas.
Mohammad Abu-Ghazaleh: I couldn't hear you well to be honest with you Mark, so if you can repeat it please?
Mark Williams: I'm sorry. The banana margin, I thought it would be -- you had falling prices and rising cost, it held up pretty substantially, can you give I guess some detail on how on what you did to mitigate some of that pressure on bananas between the cost and the prices and some of the euro headwind.
Richard Contreras: Volume was increasing.
Mark Williams: Okay. And which markets in particular, are you gaining share?
Richard Contreras: Middle East and North America was where volume was higher in this quarter.
Mark Williams: Okay. So bunker fuel specifically was down, and looks like it was down a little bit more than Q2 but still [indiscernible] stock market, why is that not flowing through I guess more to the gross margin line [indiscernible] offsetting that?
Mohammad Abu-Ghazaleh: You know that the bunker usually takes time to follow up the market. I mean, if the price of [porridge] today is let's say $45, product companies [indiscernible] do not reflect that the pricing on a spot basis but maybe one month or 45 days later because of the reserve and in the spots that they have inventory that they have so, usually it's not right that you see it right away if price of [indiscernible] goes down that we see that reflected for the bunker.
Richard Contreras: And remember in North America, we have surcharges to customers, so it sort of offsets to an extent.
Mark Williams: Okay. And speaking on North American pricing, I think, we are starting to get into contract season; can you just give some detail on how that's looking?
Mohammad Abu-Ghazaleh: We're doing [a lot] improve our pricing for sure and hopefully the market will cooperate to us but definitely we're trying to improve in order to mitigate our increased cost.
Mark Williams: Okay, and what do you see on the supply side for North America, seems like there is lot of fruit [available].
Mohammad Abu-Ghazaleh: At that time of the year, you have a lot of fruit available but I think the key of the excess fruit is almost comes to an end by the end of this month, there will be no more excess in the market in the production area and then we'll see the market of course improved, but that takes of course few weeks to have all the fruit that was on the water being cleared out of the market. So, I believe by end of December the market should turn around and start to becoming more normal pattern of increased pricing. I'm talking here as far as both Europe and the other markets in the world. North America mainly compared to fruits so we are influenced by the excess fruit, the excess fruit really helps Europe, Asia and the [indiscernible] region in these markets and these markets should, once the oversupply is cleared, these markets come back to their normal level of pricing, which really is good pricing.
Mark Williams: Okay, great and so my final question is related to the balance sheet, obviously below one times leverage did some share repurchase this quarter and with the CapEx now that you have, you have obviously of lot of cash, you talk about getting more aggressive on avocados. I noticed that a competitor made a land investment in Costa Rico during the quarter, so can you just talk about you used up your balance sheet, I mean as a cash flow?
Mohammad Abu-Ghazaleh: As you said, we have already spent [indiscernible] $90 million and we're spending a lot of projects now on -- and it's undergoing. We are looking at positions of land and agriculture new affinities and amenities in South America as well as North America, so we are looking at how can we get the whole idea of Fresh Del Monte which you can see today is transforming the company from a banana company to a much wider product line and added value products which gives us consistent business with consistent margins with high added value product with high margins, so that's the kind of strategy, that's the kind of direction that Fresh Del Monte is going to and we are going to achieve these results as we go forward.
Operator: Thank you. [Operator Instructions] And I'm showing no additional questions. I'd like to hand the conference back over to Mr. Abu-Ghazaleh for any closing remarks.
Mohammad Abu-Ghazaleh: Thank you very much. I appreciate whoever is on the call, and thank you very much for participating and hope to talk to you about our revenues on our next conference call. Have a good day.
Operator: Ladies and gentlemen thank you for your participation in today’s conference. This does conclude the program and you may all disconnect. Have a great rest of your day.